Operator: Good day, and welcome to the HVT Fourth Quarter and Year-end 2021 Results Conference Call. Today's conference is being recorded.  At this time, I'd like to turn the conference over to Richard Hare, Chief Financial Officer. Please go ahead.
Richard Hare: Thank you, operator. During this conference call, we'll make forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only as of the date they are made and which we undertake no obligation to publicly update or revise.  Factors that could cause actual results to differ include economic and competitive conditions and other uncertainties detailed in the company's reports filed with the SEC. Our Chairman and CEO, Clarence Smith, will now give you an update on our results; and then our President, Steven Burdette, will provide additional commentary about our business.
Clarence Smith : Good morning. Thank you for joining our 2021 fourth quarter and full year conference call. We're very pleased to report a record fourth quarter and full year performance. For the first time in our history, we reached $1 billion in net sales and had record earnings per share of $4.90 versus our previous record earnings last year of $3.12.  We're well positioned in the fastest-growing markets in the country. Housing in our regions continues to be a tailwind for growth. With our best-in-class balance sheet, we're continuing to invest in all parts of our company as well as the important and evolving e-commerce business.  We're particularly proud of all our teams who operated in challenging circumstances related to COVID-19 concerns, unrelieving supply chain disturbances and ongoing price increases in our product and in shipping cost. We believe that we outperformed many of our competitors by working closer with our suppliers to bring in products and providing better service levels. We believe that because we manage the entire distribution process from shipping containers to the final mile home delivery, we offer a faster and more reliable service level.  Our store positioning in the 16-state footprint is focused on adding stores in the hottest real estate markets in the United States. We have the most stores in Florida, Texas, Georgia, North Carolina and Virginia. This year, we plan to open stores in Northern Virginia Gateway, Austin Pflugerville and a relocation in Indianapolis and a branch store in an existing market. We're positioned in 9 out of the top 10 hottest housing markets recently noted by Zillow. We plan to open 4 and net 2 stores this year. We'll have 10 LED lighting conversions, completing our multiyear effort to upgrade all of our stores. We have 6 major remodeling projects planned for the year. Our real estate portfolio is in the best position in our long history. We're planning 5 stores a year for the next 3 years beginning in 2023.  We're strengthening our distribution capabilities to better serve all the markets we can reach with quicker deliveries and better service. In 2021, we added capacity to allow for 20% more storage in our main distribution center in Braselton, Georgia. We're investing in regional facilities to allow for further growth in the Mid-Atlantic and Mid-American regions. We plan to relocate to a larger home delivery facility in Cincinnati, Ohio later this year. We have plans underway to double the size of our Virginia home Delivery center and convert that to a full DC in 2023. The expansion will increase that storage capacity by 150%. Virginia DC will allow us to support more Atlantic Coast store growth with quicker deliveries and to be able to import directly through the Norfolk Virginia port, reducing our inbound and transfer costs.  We expect that our capital expenditures for 2022 will be approximately $37 million, depending on the timing of several properties. The key investments are in stores, distribution and IT enhancements. These investments allow us to serve 100% of our footprint and set us up for continued sales growth into the future. We're using the Adobe suite of applications and services as the foundation to replatform our website. Havertys.com is our front door, and almost all our customers utilize the site in the sales process. While our pure Internet sales transactions are in the mid-single digits percent of sales. After the relaunch, we believe that we can move to the 10% range. Our top merchandising priority is to bring in product to reduce our backlog and to build back inventory to serve our customers more quickly. We're also working with our suppliers to provide curated product selections that are held in third-party warehouses. This will allow us to expand our selections, more quickly serve our customers and move into new home furnishings categories. We began this program in 2021, and we're pleased with the customers' response. We saw new and expanded success in outdoor furnishings, occasional home office and upholstery. We have a goal of tripling our third-party curated collections this year.  Our merchandising teams are excited to finally be developing and bringing in new designs, which we put on the back burners due to the supply chain and factory delays over the past year. We expect to see these products coming in beginning in the second quarter.  2021 was a record in almost every measure. I am so proud of all our team's terrific efforts to serve our customers and to create this performance. We have set a foundation and operations level, which we will build on to reach new records in the years ahead. I'll now turn the call over to Steve Burdette, our President.
Steven Burdette: Thank you, Clarence. I want to offer my congratulations as well to the entire Haverty team for the outstanding fourth quarter results as well as the record 2021 yearly results. Achieving $1 billion took a great deal of commitment, hard work, passion and patience from each of our team members as they had so many headwinds to overcome during the year. Again, my sincere thanks to each of them. As expected, our supply chain network was impacted during the latter part of Q4 2021 and the early part of Q1 2022 due to the Vietnam shutdowns in August and September last year, along with the slow ramp-up times as they reopened beginning in October 2021. Also, most of our domestic suppliers closed for 2 weeks in the Christmas and New Year's time frame to give their associates needed time off and to do maintenance on their equipment. These 2 issues caused a reduction in our receiving of approximately 10% in December and January. However, we are seeing our imports and domestic shipments increasing and expect that our receiving levels will return to normalized levels in the February, March time frame as our vendors are getting back to normal operations. Our undelivered pool continues to remain healthy, but our average age has increased to just over 10 weeks in the last 90 days. We are seeing to stabilize and expect a reduction in the average age of the undelivered pool by the end of Q1. We have seen an improvement in our vendors lead times with special orders. With these improvements, we are expecting a return in our Special Order business to our targeted 25% of upholstered sales by midyear.  Container rates and container capacity continue to remain a concern. While it appears that there has been some settling in the rates, they remain elevated. However, we are still able to move the majority of our products under our contracted rates. Port congestion continues to be an issue at some of the China ports and on the West Coast. However, over 80% of our imported products come through the East Coast with the Savannah port handling most of those shipments. It is worth noting that we are experiencing no congestion at the Savannah port at this time. The Omicron variant has put pressure on our staffing needs, both at our vendors and our facilities. We saw an increase in our absenteeism in December and January, but due to the reduction in the number of days the person is required to be out, it has allowed us to be able to adapt. On a positive note, over the last couple of weeks, we have seen an improvement in our absenteeism. Also, we have seen our hiring improve over the last 45 days across all areas of the business, but retention continues to be a focus of our management teams.  Finally, I wanted to update you on the progress and improvements we are making with the replatforming of our website. As Clarence mentioned, we are working with Adobe and our implementation partners to get this completed sometime in Q3. This will be an optimized digital front door that provides inspirational content, dynamic product features and streamlined transactional experiences for our browsers and shoppers. The new site will have improved search functionality, enable quicker speed to market to meet the trends and demands of our customers, enhanced product and category pages, better targeting of content and personalization, AB testing and overall better site reporting.  Again, I would like to thank the entire Haverty team and our suppliers for all their support and efforts in making Q4 and '21, a record for Havertys.  Now I will turn the call over to Richard.
Richard Hare: Thanks, Steve, and good morning. In the fourth quarter of 2021, net sales were $265.9 million, a 10.2% increase over the prior year quarter. Comparable store sales were up 9.2% over the prior year period. Our gross profit margin decreased 60 basis points from 57% to 56.4% due to an increase in our LIFO reserve as we continue to see increased freight and product costs.  Selling, general and administrative expenses increased $10.9 million or 10.2% to $180 million, primarily due to increased sales, as a percentage of sales, these costs were basically flat. We did experience increased port congestion, and we incurred significant demurrage costs of approximately $1.8 million, which negatively impacted our selling, general and administrative costs.  Other income in the fourth quarter of 2021 was negligible. And in the fourth quarter of 2020, we recognized a $600,000 gain on surplus property. Income before income taxes increased $800,000 to $32.1 million. Our tax expense was $7.8 million during the fourth quarter of 2021, which resulted in an effective tax rate of 24.3%. The prior year's fourth quarter tax rate of 18.7% was impacted by the recognition of certain state job creation tax credits. The primary difference in the effective rate and the statutory rate is due to the state income taxes and tax benefits from vested stock awards. Net income for the fourth quarter of 2021 was $24.3 million or $1.35 per diluted share on our common stock compared to net income of $25.4 million or $1.37 per share in the comparable quarter last year.  Now turning to our balance sheet. At the end of the quarter, our inventories were $112 million, which were up $22.1 million from December 31, 2020, and down $6.9 million versus the Q3 2021 balance. At the end of the fourth quarter, our customer deposits were $98.9 million, which was up $12.7 million from the December 31, 2020 balance and down $21.3 million versus the Q3 2021 balance.  We ended the quarter with $166.1 million of cash and cash equivalents, and we have no funded debt on our balance sheet at the end of Q4 2021.  Looking at some of our uses of cash flow, capital expenditures were $34.1 million for 2021, and we paid $17.4 million of regular dividends and $35 million of special dividends during 2021. During the fourth quarter, we purchased $22.3 million of common shares, approximating 694,000 shares. For the calendar year, we purchased $41.8 million of common shares, which approximated 1.2 million shares, which is approximately 8% of our current market capitalization.  At the end of the fourth quarter of 2021, we have $25 million remaining under the current authorization in our buyback program. And at our current equity valuation, we intend on exhausting this authorization prior to the third quarter of this year.  Our earnings release list out several additional forward-looking statements indicating our future expectations of certain financial metrics. I'm going to highlight a few, but please refer to our press release for additional commentary. We continue to expect our gross profit margins for 2022 to be between 56.7% and 57%. We anticipate gross profit margins will be impacted by our current estimates of product and freight costs and changes in our LIFO reserve. We also expect gross margins to ramp up to these levels over the course of the year from the Q4 2021 gross margin of 56.4%.  Our fixed and discretionary type SG&A expenses for 2022 are expected to be in the $295 million to $298 million range, which is a 5% increase over the prior year levels. The variable-type costs within SG&A for 2021 are expected to be in the range of 17.2% to 17.4%.  Our planned CapEx for 2022 was $37 million, anticipated new or replacement stores, remodels and expansions account for $19.3 million. Investments in our distribution network are expected to be $13.5 million and investments in our information technology are expected to be approximately $4.2 million. Our anticipated effective tax rate in 2022 is expected to be 25%, this projection excludes the impact from vesting of stock awards and any potential new tax legislation.  This completes my financial commentary on fourth quarter results. Operator, we would like to open the call for questions now.
Operator:  And our first question will come from Anthony Lebiedzinski with Sidoti & Company.
Anthony Lebiedzinski: So first, versus pre-pandemic levels, so what is your view of the sustainability of demand? And also, are you seeing any notable order cancellations?
Clarence Smith: Well, I'll start with that. We haven't seen any notable cancellations. Our backlog is very healthy. It's up over last year. Anthony, pre-COVID, we announced that we wouldn't be releasing sales trends mid-quarter. But with COVID-19, we have to issue a lot of different information and we gave both written and delivered often the last several quarters.  In addition, this particular quarter, we are significantly affected by the calendar the most important event is upcoming Presence Weekend. And it's next weekend. And last year, it was last weekend. So the calendar is not comparable. So we also don't like giving weather reports. I'm not going to do that. But we're only going to be releasing our current business conditions when we release earnings, and that will be obviously a couple of months. So we'll talk all you want about what happened.
Anthony Lebiedzinski: Well, I was just more curious about your longer-term view and not necessarily what you're seeing quarter-to-date, but --
A –Clarence Smith: You heard that in our presentation, we feel very good about our position. We feel very good about the year. There are lot of unknowns. We feel like we’re in a very strong position, and we’ve got a really strong backlog, which we expect to be able to have carries for the next couple of quarters.
Q –Anthony Lebiedzinski: Of course. Now did you guys quantify the backlog? Or is that something that will come out in the 10-K?
A –Clarence Smith: We did not quantify it. It’s up over last year.
Q –Anthony Lebiedzinski: Okay. Fair enough. Okay. All right. And then Clarence, you talked about accelerating the store growth looking to open 5 new stores per year. I assume that’s mostly going to be within your current geographic footprint. Is that a fair assumption?
A –Clarence Smith: It’s within our distribution footprint. It could go into other states, but it is within where we can serve out of the distribution that we currently have in place. And you heard that we’re expanding the capabilities for a couple of our facilities, which will help us grow also.
Q –Anthony Lebiedzinski: Got it. Okay. And then for this year, as far as the store openings and closings, what’s the ballpark estimate as to when you expect to open and close those – so I think it gets – talk about 4 openings and 2 closings.
A –Clarence Smith: They’re going to be later in the year, Richard, do you want to --
A –Richard Hare: Yes. Probably 1 opening will be earlier this year. The rest will be the latter part of the year and the closure will be third or fourth quarter of this year.
Operator:  And our next question will come from Andrew Efimoff with KeyBanc Capital Markets.
Andrew Efimoff: I'd like to add my congratulations on your $1 billion sales milestone you all achieved last year. So my first question is more on the written cadence during the quarter. I was wondering if you could provide any more color on how demand trended throughout the quarter. I know that from an industry perspective, we've obviously heard broader concerns about Omicron and whether -- and lapping stimulus payments, which have been especially impactful in January. But I'm curious to hear how you've seen demand evolve in the past couple of months in your business.
Richard Hare: Well, let me hit the written part for Q4 and then Clarence or Steve talked about the business in general. But the written trends were -- they were a little soft in October, November, and it was a positive written trend in December.
Clarence Smith: Yes. I think that December was a little bit of a challenge compared to the previous year because we had such a record. And also part of our issue is that in a couple of categories, particularly cascades were so low in our inventory that that's been a drag. We expect that to clear up starting now. We've got a lot of product on the water, a lot coming in, but it was more of a challenge late in the year because of inventory on some of our best sellers.
Andrew Efimoff: Got it. Understood. And then I know that promotions ran relatively lean during the height of the pandemic last year and in 2020. But could you talk about how promotions are tracking more recently in your own business as well as what you've observed in the competitive environment and how you expect that environment to change in 2022?
Steven Burdette: Yes, Andrew, this is Steve. I would tell you that we have not really changed our cadence. We have looked at credit and seeing what needs to be done there to be competitive. We still see that being aggressively used. And so we may be a little more aggressive with that, if needed, but our overall promotion schedule and calendar will not change with what we do. Our marketing efforts will continue to focus on more digital efforts to attract the consumer and bring them in, but obviously still using broadcast and those medians as well.
Andrew Efimoff: Got it. That's helpful. And your gross margin guidance for the year was encouraging as it reflects similar to improved margins versus the strength you saw last year. Could you provide more detail on your expectations for freight and product costs for the year and how they play into that gross margin outlook you're forecasting?
Steven Burdette: Well, this is Steve again, Andrew. We basically, as we said in the deal, we have seen some leveling out on the container rates. Certainly, the premium rates have gone down some, but they still exist. They're still high. And we're still bringing product on a needed basis that we need to get it for our consumers, and we are still paying some premium rates. But we have all this factored into our pricing. That's been in there, and we do not see any impact in that leading in through 2022, and that's why we put the margin guidance out there of 56.7% to 57%.
Operator: And that does conclude the question-and-answer session. Mr. Hare. I will now turn the call back over to you for any additional or closing remarks.
Richard Hare: Great. Thank you for your participation in today's call. We certainly look forward to talking to you in the future when we release our first quarter results.
Operator: Thank you. And that does conclude today's conference. We do thank you for your participation. Have an excellent day.